Operator: Good day, ladies and gentlemen, and welcome to the Tutor Perini Corporation First Quarter 2024 Earnings Conference Call. My name is Maria, and I'll be your coordinator for today. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. [Operator Instructions] 
 I will now turn the conference over to your host for today, Mr. Jorge Casado, Vice President of Investor Relations. Please proceed. 
Jorge Casado: Hello, everyone, and thank you for your interest and participation. With us today are Ronald Tutor, Chairman and CEO; Gary Smalley, President; and Ryan Soroka, Senior Vice President and CFO. 
 Before we discuss our results, I will remind everyone that during today's call, we will be making forward-looking statements, which are based on management's current assessment of existing trends and information. There is an inherent risk that our actual results could differ materially. You can find our disclosures about risk factors that could potentially contribute to such differences in our Form 10-K, which we filed on February 28, 2024, and in the Form 10-Q that we are filing today. The company assumes no obligation to update forward-looking statements, whether due to new information, future events or otherwise, other than as required by law. 
 Thank you, and I will now turn the call over to Ronald Tutor. 
Ronald Tutor: Thanks, Jorge. Good day, and thank you for joining us. We delivered a very good first quarter results that exceeded our expectations and demonstrates that we are on track for double-digit revenue growth and a return to profitability in 2024, just that we had indicated in our earnings call last quarter. 
 Our first quarter results featured 35% consolidated revenue growth, strong profitability with operating margins of 15% and 3.9% for our Civil and Building segments, respectively, and $0.30 of diluted earnings per share, which was especially strong given the typical seasonality of our business. 
 Backlog grew 26% year-over-year and continues to be very healthy at $10 billion. And perhaps most impressively, very strong operating cash flow of $98 million for the quarter, the second highest operating cash flow result of any first quarter since the 2008 merger between Tutor-Saliba and Perini Corp. Ryan will discuss all the financial details a bit later. 
 Importantly, as previously announced, we recently completed a successful debt refinancing, which strengthened our balance sheet and will extend our debt maturities. We issued $400 million of new senior notes due in 2029, which, combined with $100 million of available cash on hand to reduce the prior note, they will be used to redeem the $500 million of senior notes due in 2025. 
 In conjunction with our refinancing, we also amended our credit agreement which will become effective upon the redemption of our existing senior notes, extending the maturity of our revolving credit facility by approximately 2 years. After we redeem our existing senior notes next week, we will have reduced  our total debt by nearly 200,000 -- excuse me, $200 million since the end of last year and even more, including the fourth quarter of 2023. The continued reduction of debt will be our focus with the strong cash flow expected during the rest of 2024 and even 2025. 
 We continue to make good progress on resolving various disputed matters in the first quarter, which contributed about half of the outstanding operating cash that we generated. We still expect to resolve most of the remaining legacy disputes and collect substantial amounts of associated cash this year with a lesser amount of resolves expected to be finalized in 2025. The dispute resolution activity expected to help drive operating cash flow for both 2024 and '25, and we expect them to be as strong as 2023's record cash performance. 
 As I mentioned, our first quarter backlog was $10 billion, up a solid 26% year-over-year. 
 The most significant new awards and contract adjustments in the first quarter include a $243 million health care project in California, the $73 million project Titan Hangar 3 project in Florida, $66 million of additional funding for several health care projects in California, $55 million for 3 U.S. Navy projects in Diego Garcia for Black Construction and $52 million of additional funding for 3 mass transit projects in California. 
 We still anticipate that our backlog will grow significantly later this year and in 2025. As we bid and win our share of the major volume of available project opportunities, we have discussed in recent quarters, which are supported by the Bipartisan Infrastructure bill as well as strong state and local funding. 
 Our most significant near-term prospects include the $550 million Raritan Bridge we were lower bidder on previously, which is now rebidding in the next 60 days, the $6 billion dry dock project enables shipyard in the state of Washington, which I believe is going to be broken up into 4 to 6 projects less in magnitude but able to be bid on separately; the multibillion-dollar Manhattan jail facility; the $2 billion Honolulu rail transit project, which -- for which we had been again previously the low bidder to be rejected over a lack of funding; the $1.8 billion South Jersey light rail Camden line in New Jersey; the $1.5 billion Newark AirTrain replacement project. Again, another project, we were previously low bidder that the unable -- the owner was unable to award due to budget constraints. That project is now bidding in August. The $1.2 billion Inglewood Transit Connector project in Southern California bidding in June. The $800 million Kensico Eastview Connection tunnel in New York, which is expected to bid by the end of June. And the $500 and $750 million Palisades in Manhattan tunnels in New Jersey and New York bidding this summer. 
 We anticipate positive earnings for 2024, again, with significantly stronger earnings expected in 2025 and '26. Based on our results to date this year, our assessment of the current market and business outlook and to maintain adequate contingency. 
 In the event of unforeseen events, we are affirming our 2024 EPS guidance and still expect EPS to be in the range of $0.85 to $1.10. 
 As in prior years, our earnings are expected to be weighted more heavily in the second half of the year due to the anticipated timing of large project activities as well as typical seasonality. 
 Thank you. And with that, I'll turn the call over to Ryan to view the financial results. 
Ryan Soroka: Thank you, Ron, and good afternoon, everyone. As Ron mentioned, we're off to a great start in 2024 with excellent first quarter results that exceeded our expectations. Our ongoing focus on dispute resolutions and cash generation helped us to achieve very strong operating cash flow of $98.3 million in the first quarter, the second highest first quarter result we have had since 2008. Approximately $50 million of this cash was associated with collections related to settlements and other dispute resolutions, and these resolutions collectively resulted in essentially no impact to earnings in the first quarter. 
 We expect strong cash flows will continue to be enhanced this year and next year by the anticipated resolution of various remaining disputes. And beyond that, our cash generation should remain solid, driven by increased project execution activities. 
 I'm pleased with our recently completed debt refinancing, which strengthened our balance sheet and will extend our debt maturities by enabling us to redeem a $500 million of existing senior notes due in 2025 and replace them with $400 million of new senior notes due in 2029 and $100 million of cash that we've been accumulating. 
 We also amended our credit agreement. And upon the upcoming redemption of our existing senior notes next week, the maturity of our revolving credit facility will be extended to 2027. It's also worth noting our new senior notes have 2 years of call protection. 
 As Ron indicated, our near-term focus will remain on reducing debt by paying down and eventually paying off our Term Loan B, which we are not restricted in prepaying. 
 Now let's discuss our P&L results. Revenue for the first quarter of 2024 was $1.05 billion, up 35% compared to $776 million for the same quarter last year. The strong growth was primarily driven by increased activities on the California High-Speed Rail project, the Brooklyn Jail project in New York and the LAX Airport Metro Connector project in California. 
 Civil segment revenue for the first quarter of 2024 was $472 million, up 35% compared to the first quarter last year, primarily due to some of the factors I just mentioned as well as increased activities on Frontier-Kemper's Eagle Mountain gas pipeline project in British Columbia. 
 Building segment revenue was $412 million, up 79% year-over-year also driven on certain aforementioned factors and increased activities on a health care project in California. 
 The strong growth we had in the Civil and Building segment was partially offset by a 16% decline in the Specialty Contractors segment, with the Specialty segment reporting revenue of $165 million for the first quarter of 2024. The segment's revenue decline was mainly due to reduced activities on an industrial facility project in Arizona and the electrical and mechanical components of a completed transportation project in the northeast. 
 Income from construction operations was $49 million for the first quarter of 2024 compared to an $82 million loss for the same quarter last year. The significant improvement was largely due to the absence of certain prior year unfavorable adjustments as well as contributions related to the increased activity, as I mentioned, on certain Civil and Building segment projects. 
 We had a couple of project adjustments that largely offset each other in the first quarter of 2024 but impacted margins for the Civil and Specialty Contractors segment: a favorable adjustment of $10 million on a Civil segment mass transit project in California related to a dispute resolution associated expected cost savings and an unfavorable adjustment of $12 million on a completed Specialty Contractors segment project in New York due to an arbitration ruling that provided us with only a partial award. 
 Civil segment income from construction operations for the first quarter of 2024 was $71 million, up substantially compared to $18 million in the first quarter of last year. The Civil segment's corresponding operating margin was 15% for the first quarter of 2024, higher than our target margin range for that segment. 
 Building segment income from construction and operations was $16 million, a significant improvement compared to the substantial loss of $70 million we recorded in the first quarter last year that have been largely attributable to an adverse legal ruling that quarter on a completed mixed-use project in New York. Building segment operating margin was 3.9% in the first quarter of 2024, also nicely ahead of our target margin range for the segment. 
 The Specialty Contractors segment posted a loss from construction operations of $18 million in the first quarter of 2024 compared to a loss of $12 million for the first quarter of last year, mostly due to the $12 million charge I mentioned this quarter as well as an immaterial unfavorable adjustment due to a settlement on a completed mass transit project in California. 
 We expect improved performance from the Specialty Contractors segment over the rest of this year and are optimistic that the segment will be profitable by the end of 2024. 
 Corporate G&A expense was $20 million in the first quarter of 2024 compared to $16 million last year, with the increase primarily due to higher compensation-related expenses, mainly attributable to higher share-based compensation expense on liability classified awards, resulting from the impact of the notable increase in our stock price in the first quarter of 2024. 
 Other income was $5 million compared to $6 million last year. 
 Interest expense for the first quarter was $19 million this year compared to $22 million last year, with the decrease driven by the absence of borrowings on our revolver and a lower balance on our Term Loan B, primarily resulting from the $91 million prepayment we made in February. 
 Income tax expense was $7 million in the first quarter of 2024 with a corresponding effective tax rate of 21% compared to an income tax benefit of $48 million with an effective tax rate of 49.6% for the same quarter last year. As a reminder, the net operating losses we generated in 2022 and 2023 will help reduce our cash outlays for income taxes in 2024 and in future years. 
 Net income attributable to Tutor Perini for the first quarter of 2024 was $16 million or $0.30 of diluted earnings per share compared to a net loss of $49 million or a loss of $0.95 per share in the first quarter of 2023. 
 As Ron mentioned, we still anticipate double-digit revenue growth and a return to positive earnings in 2024 with substantially stronger earnings expected in 2025 and 2026. 
 Now I'll address the balance sheet. Our total debt as of March 31, 2024, was $801 million, down $99 million or 11% compared to $900 million as of December 31, 2023. Our total debt will come down by another $100 million next week with the redemption of our existing senior notes. 
 As of March 31, 2024, we were in compliance with the covenants under our credit agreement and expect to continue to be in compliance in the future. 
 And finally, as Ron mentioned, we are maintaining our 2024 EPS guidance in the range of $0.85 to $1.10. Despite our strong first quarter results, we want to maintain adequate contingency in our guidance to cover potential unforeseen events that could impact us this year. 
 Accordingly, all the assumptions regarding our guidance that we provided last quarter remain unchanged. 
 Thank you. And with that, I'll turn the call back over to Ron. 
Ronald Tutor: Thanks, Ryan. And at the risk of being repetitive, I'll recap our first quarter highlights in that we delivered strong revenue growth and profitability, particularly in our Civil business and secondarily, our Building segment, again reporting $0.30 a share of earnings and $98 million of strong operating cash flow. 
 We continue to expect our operating cash flow will be strong in '24 and '25 as we continue to resolve the remainder of our remaining legacy disputes and collect the substantial associated cash. 
 We are on track to deliver double-digit revenue growth and return to positive full year earnings in '24 and anticipate significantly higher in '25 and '26. 
 Our backlog should grow significantly this year and next, as we continue to bid and win our share of the large volume of major near-term opportunities with extremely limited competition in the mega project arena. Lastly, as expected, we successfully completed our debt refinancing earlier. 
 And with that, I'll turn the call over to the operator for questions. 
Operator: [Operator Instructions] Our first question comes from Alex Rygiel with B. Riley Securities. 
Alexander Rygiel: Ron, Gary and team, nice quarter. A couple of quick questions here. First, Ron, you mentioned a number of these are large prospects you were rebidding. Can you talk a little bit about historically what is your success rate in winning those rebids when you had already won sort of the first round? 
Ronald Tutor: Well, those happen so seldom. I can't give you a long history, but let's just say we're very confident on the rebids with the lack of competition and the limited competitors. 
Alexander Rygiel: And then as it relates to -- this is more for Ryan. Ryan, the Civil margins in the first quarter were very strong. You mentioned a number of things on the call here, but can you kind of just identify the onetime items that might have influenced the strength in the first quarter? 
Ryan Soroka: Sure. The -- as I mentioned, and we have disclosed them Form 10-Q as well. There was a $10 million favorable impact to the first quarter related to a resolution on a Civil segment project here in L.A. 
Alexander Rygiel: Excellent. And then can you help us a little bit with regards to interest expense guidance for the second quarter and for the full year? 
Ryan Soroka: Yes. At this point, we're continuing to maintain our guidance for the year related to interest expense, but the refinancing will be less debt outstanding but also at a different rate. 
Operator: Our next question comes from Steven Fisher with UBS. 
Steven Fisher: Nice to see the first quarter profitability there. Just to follow up on Alex's question on the Civil segment. If you back out the $10 million, you're just a hair under 13% margins in the first quarter in that business. So I guess I'm just kind of curious how we think about the go-forward there. Is the backlog that you have today kind of supportive on an underlying basis of that level of margin? Or is it still going to kind of fluctuate around within a fairly wide range over the next few quarters? 
Gary Smalley: Steve, this is Gary. Yes. Look, the nearly 13%, that's pretty much what we're expecting for the rest of the year. Historically, we've been in the 8% to 12% band, and we've been signaling for a while that we're going to be north of the 12%. The work that we have in backlog, we like the quality of earnings in that work. There's a lot of strong margin work there. So I think that's a pretty good proxy of how the rest of the year should play out. 
Steven Fisher: Okay. That's helpful. And then on the specialty side of the business, I guess you adjust for the $12 million item. You mentioned still not quite profitable there, but I know you said by the end of the year. I guess what is still keeping the Specialty business from being profitable. And in the next couple of quarters, is it more underutilization? Or is it more mix still of some of these legacy projects or something else? 
Gary Smalley: Yes. So it's still -- there's still some underutilization there. You're spot on. But what we're still facing and what we had in the quarter was really some of these legacy items, just the quarter being weighed down a little bit by that. And we were into the, we'll say, subsequent event period. And it looked like we were pretty much on budget at the time. But some of the resolution activity and then the result of one of the cases that dragged us down a little bit. 
 So absent of that, even with the underutilization, especially in New York with the volume being somewhat low at this point, we had a pretty good quarter. So I think it's if you focus on litigation and resolution items, that's really the big risk that we're seeing right now. 
Steven Fisher: Okay. And then just a follow-up on the cadence of the year, I think Ron mentioned that it's more -- earnings more heavily weighted to the second half, but you did have a much better than probably typical seasonality in the first quarter. So if we take those two things together, that might imply a fairly weak Q2, but then you did say that we should still expect 13% or so margins on the Civil business. So does that just point to basically taking a pretty conservative approach to guidance here for the year, leading to potential upside or is there something in the second quarter that we should just be aware of to set our expectations properly around Q2? 
Ronald Tutor: There's nothing in the second quarter. The reason we're hedging and the reason we're taking the positions that we are, we have collected a significant amount of money. I've said time and again, 2025 will be a year of settlement and collections of moneys people owe us, but it's also forces to litigate through to conclusion, and we settled major cases. So there's always a variable and an uncertainty. I don't have any uncertainties about operating earnings of any of the divisions. I think they're stable, and civil is terrific. 
 However, the only issues -- and it's obvious if our first quarter is always our worst quarter, and we got $0.30 a share in earnings, you think we'd be predicting significantly higher for the rest of the year. However, this is -- as I've said time and again, this is the year of all our owners come to Jesus. All of the settlements and litigations, 90% of them come to fruition this year. Most of them, we win. On occasion, we lose. That's the only uncertainty that's involved in this year, and we've treated our projections accordingly. That's why we've significantly increased our thoughts about '25 and '26 because we expect this litigation to be primarily behind us. 
Operator: Our next question comes from Abe Landa with Bank of America. 
Ethan Kalis: This is Ethan Kalis on for Abe Landa. I guess, just first off, congrats on getting the refinancing done. That's terrific. Our first question kind of focuses on CIE. I think in the past, you provided a 10% to 12% number of sales. That number is super helpful. I guess what's the right way to think about what normalized CIE is? Is it percentage of sales or maybe a percentage of backlog? Any color there would be helpful. 
Ronald Tutor: Well, I've quoted in the past that I think a company of our size, assuming $5 billion to $6 billion in revenue, is going to generate anywhere from 5% to 7%, and you can expect $300 million to $400 million of CIE in various stages of disputes being resolved but should reside in that category. And that's our goal sometime in 2000 -- by the end of '25, no earlier than the first quarter of '26 to get well within that range and with any good fortune and no further delays in litigation by the first quarter of '25. 
 So that's normally because there are certain disputes, although we are negotiating in good faith and ultimately resolve them without the benefit of lawyers or litigation. They oftentimes could take 6 months to 1 year of informal discussions between the principles of Tutor Perini and the principles of the owner. So those go into CIE, but the object is not to litigate but to resolve amicably. 
 So there's always going to be a certain amount, and I've said previously, and I'll restate. If we could expect $300 million to $400 million of CIE is reasonable. If we get much more than that, then that [ isn't ] positive. And we've had years where it was less than $100 million. But that's what I would give as guidance. 
Ethan Kalis: Awesome. That's super helpful. And I guess just turning to the liability side. Is there a normalized level for the billings in excess? 
Ronald Tutor: Whatever we can. 
Ryan Soroka: So just kind of looking forward, we've been targeting something in the mid-teens, just based on the types of projects that we're bidding and the focus on these large fixed-price projects. 
Ronald Tutor: Essentially, what we do, we've taken a position with all our owners in an absolute mode in prebid discussion so that we change contracts. We tell them we don't finance our work they do. So we demand and get mobilization payments, which means on a typical $1 billion job, if we demand 8% to 10% upfront, it means they pay us $80 million to $100 million the day we set foot on the job and their money finances the job, not ours. 
 Now we've been able to force that into being over the last 18 to 24 months, and it will continue. That's the change in our industry from the old days when we worked on our money, and they would put no money upfront. But with the diminished competition, we find ourselves able to much better negotiate terms than previously. So that's always going to be maintained and hopefully, a 15% of revenue level. 
Ethan Kalis: Yes, it's excellent... 
Ronald Tutor: In other words, we want to work on the owner's money, not ours. 
Ethan Kalis: Yes. That's excellent to see. And is the full portion of the Brooklyn Jail project included in the CIE billings in excess? Or is only a portion at this point may be related to design? 
Gary Smalley: Only the design portion. 
Ronald Tutor: And that's not a significant billings in excess number. 
Ethan Kalis: Awesome. And then just one last quick question to follow up on the Specialty segment. It seems like Tutor Perini has done a pretty excellent job just shedding some of those unfavorable legacy projects. Have you kind of hit a trough there just in terms of revenue? Or is there still more to go? 
Ronald Tutor: I think we've lowered revenue to a point where it's fairly well leveled off. As I've said, we took Five Star Electric down from $600 million to where I think our comfort level is $150 million to $200 million. WDF is down from $400 million a year, I think we're, what, $150 million to $200 million now. 
 So we've leveled them off. We've laid off. We've remanaged. We put new people in place and replace some people that were just obviously poor performers. And we think we're down to a nucleus and a revenue base that we can return to a level of profitability. But to say they've been reduced in size as a part of our operation, would be obvious. 
Operator: There are no further questions at this time. I would now like to turn the floor back over to Ronald Tutor for closing comments. 
Ronald Tutor: Thank you, everybody, so much, and we look forward to the next quarterly call. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.